Matt Chesler: Good afternoon, everybody. And welcome to the PLBY Group, Inc.'s fourth quarter 2024 earnings conference call. Hosting today's call are Ben Kohn, Chief Executive Officer, and Marc Crossman, Chief Financial Officer and Chief Operating Officer. The company will be hosting a question and answer session today. If anyone should require operator assistance, please press star zero on your keypad. As a reminder, this conference is being recorded. While we wait to fill the queue, I would like to hand the call over to Matt Chesler, from Investor Relations. Thank you. Please go ahead. Good afternoon. I'd like to remind everyone that the information discussed today is qualified in its entirety by the Form 10-K filed today by PLBY Group, Inc., which may be accessed on the SEC's website and PLBY Group, Inc.'s website. Today's call is also being webcast and a replay will be posted to the company's Investor Relations website. Please note that statements made during this call, including financial projections or other statements that are not historical in nature, may constitute forward-looking statements. Such statements are made on the basis of PLBY Group, Inc.'s views and assumptions regarding future events and business performance at the time they are made, and we do not undertake any obligation to update these statements. Forward-looking statements are subject to risks which could cause the company's actual results to differ from its historical results and forecast, including those risks set forth in the company's filings with the SEC, and you should refer to and carefully consider those for more information. This cautionary statement applies to all forward-looking statements made during this call. Do not place undue reliance on any forward-looking statements. During the call, the company may refer to non-GAAP financial measures. Such non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measure is available in the earnings release PLBY Group, Inc. filed with its Form 8-K today. I'd like to turn the call over to Ben before we begin the Q&A session. Ben?
Ben Kohn: Thanks, Matt. 2024 was a tough year for the company, but a necessary year as we repositioned the business to an asset-light model. We started to see the results of that in Q4 where EBITDA started to turn positive excluding foreign currency. But most importantly, we completed the buy board deal in the fourth quarter which from a profitability and cash flow perspective moving forward completely changes the game. And so as we enter 2025, we have a new baseline of cash flow that allows us on a full-year basis to be free cash flow positive, especially after the first six months where we'll be completing the transition of our legacy adult properties in the Playboy Club to buy board. What's really exciting is the growth prospects we have moving forward. Both in existing licensing deals, like the upside we have in the buy board deal, as they start to execute on the turnaround of those properties. But also new opportunities that we know work in food categories that we have monetized historically, like in the gaming space. That coupled with the really positive relaunch of the Playboy magazine last month at Super Bowl will be part of our strategy moving forward. We plan on releasing four issues once we get fully ramped up of the magazine. And developing new revenue streams around that. That magazine is really our brand viable moving forward. It's that asset that we leave behind, and it's the marketing vehicle for the company. But we're not running it to make money just on print. There's opportunities around paid stand voting, there's opportunities around sponsorship as we launch events around that. And there's opportunities through subscription or membership around the magazine. And so those are the things we're focused on moving forward. For the first time in the last two or three years, we actually have a chance to really focus on the growth of the business. Something that we have not been able to focus on because of the balance sheet that we've had historically. And so as we move into 2025 and the balance of the year, very excited by the prospects we have and actually this new issue that we hope be out sometime in August, tied to Midsummer Night's Dream Party. And the celebrities and influencers that will be working with us in that magazine, and that that magazine really taking the editorial form allow us to work with a new promotional vehicle. And so with that, we'd love to open it up to questions.
Operator: Thank you. Now be conducting a question and answer session. Once again, if you'd like to ask a question, press star one on telephone keypad. Enter the queue. Press star two to remove yourself from the queue. One moment while you call for questions. And our first question comes from JP Wallum with Roth Capital Partners. Please proceed.
JP Wallum: Great. Hi, Ben. Hi, Marc. Thanks for taking my questions here. So a few for you guys. Maybe if we could kinda start on the revenue side and sorta just wanna think about the $120 million and also kinda more specifically the minimum guarantee in the licensing side. So I'm trying to just get a sense of, you know, in that non-MG portion of the licensing revenue, you know, how are you assessing what the risk is to that, especially given that licensing is such a great profit driver for you guys. So one, you know, how are you assessing risk there? Two, you touched on the gaming space, but how are you thinking about upside in licensing, specifically in 2025 and then just the third one is just any give and takes around Honey Bird debt and how you're thinking about how that plays into the $120. Thanks.
Marc Crossman: Hey, JP. It's Marc. So let me just start by around the risk you were talking about. On licensing revenue. The other 14% that is not guaranteed minimums is made up of overages and new deals. And really what happens 2024 is when we set the pipeline. 2025. So we feel really good about that number. We historically know what our overages look like. We're not making assumptions that we're gonna see anything out of the norm. So I won't say anything's guaranteed. But all the work was done in 2024 to set ourselves up for 2025. As it relates to gaming, then you wanna
Ben Kohn: Yeah. Look, I think, you know, when I when I look at where we generate the bulk of our licensing revenues today, that's in the clothing sector. And so I think, you know, the pipeline is strong of new deals. But when I think about you know, categories like gaming where we used to get paid millions of dollars, we're not talking about you know, six figures here. We're talking about seven figures here. Dollars from, you know, land-based casinos, from online gaming, you know, we have a strong pipeline of gaming opportunities moving forward. And so what I'm focused on is looking at where the company used to generate revenue you know, i.e. gaming, and how do we start to rebuild that category with the right partners moving forward? You know, there's opportunities like that. There's new opportunities like you know, paid fan voting tied to the magazine. You know? So I look at it as think there's a lot of upside in the numbers. You know? We one thing to note is licensing is not a linear growth business. It grows in a step fashion. And so what we're really focused on is doing fewer but much larger deals moving forward versus, as we said, historically, just answering the phone when it rings and tight taking deals. And so I wanna focus on on bigger deals with better partners. You know, if you look at the buy board deal, we have significant upside in that deal. Right? We have a minimum guarantee of $20 million. So for everyone's recollection, that was a business that historically was losing money for us on a digital side for the most part. We turned that into basically a 100% margin licensing business, and we retained a significant piece of the upside as they get those properties online. And even our meetings with them, I think there is a lot of low hanging fruit on on their expertise on where they can improve those properties. And so you know, it doesn't mean that everything will be a smooth road moving forward. But, you know, if you look at it, going back to the risk question, I think there's there's more upside than there is downside in the business. You know, obviously, you know, we're we're moving into an economy where you know, consumer spend might be slowing a little bit. And, obviously, there's uncertainty with tariff force, but that doesn't really affect us because the way we license the business we is mostly by territory where product that is producing that territory territory is then sold in that territory as well.
JP Wallum: Great.
Marc Crossman: Thank you. And then
JP Wallum: I guess maybe just moving kinda down the financial statement a little bit understanding that you didn't give any kind of EBITDA guidance, you know, I just wanna maybe talk for a second about, like,
Marc Crossman: the opportunity for
JP Wallum: reorganizing corporate infrastructure given the transition to buy board and just sort of how you're thinking about G&A. You know, we don't need to use numbers specifically, but are you at a place where you've kind of identified you know, what corporate can look like in your post
Marc Crossman: buy board deal world? Are you still assessing what that looks like kinda
JP Wallum: where are you in that process?
Ben Kohn: So I think we have this asset, and we have begun making all of those changes and we'll continue to make those changes through the first half of this year when we're supposed to have transitioned the properties fully to buy board. So they they own the properties as of January first. They've already made their first licensing payment to us. But we have transition costs that we will be incurring as we move those businesses to them. You know, I think what we've said historically is on a full-year basis, we expect to be free cash flow positive. You can back into that number because you know how much debt we have, know, with $152 million of senior debt today the interest rate tied to that and then the amortization. And so although we're not getting specific, our goal is to be free cash flow positive. I believe that at this point, we have solved their balance sheet issues. There's opportunities because for instance, we still own Honeybird debt. But, overall, the business is gonna be free cash flow positive. That is what we're striving to, and that's how we backed into our corporate overhead in addition to build rebuilding the corporate overhead line by line and saying, you know, what do we need and what don't we need. What we do know we want moving forward is to be in an asset-light business with as few employees as possible to service that. You know, obviously, there's there's certain things that are important. We wanna make sure that we partner with the best operators that are out there that have better skill sets than we do. And we focus on what we're good at which is the brand of Playboy. It's why we'll bring back the magazine. We're gonna be bringing back twelve Playmates, and then there's a lot of opportunities as we brought back that magazine that have come come to light. You know, that we're not we're not forecasting right now. But they give us significant upside around new revenue opportunities around that that print.
JP Wallum: Understood. And and I think, you know, I'll kinda finish with one and then hop back in the queue. But you kinda led me there.
Marc Crossman: I think the
JP Wallum: the press release had some information about kinda some of these additional revenue source and I I think there was maybe some podcasts and some videos and
Marc Crossman: some different sponsorship stuff. Know, how would you assess
JP Wallum: like, what's the rationale around kinda going further down that road? And and how do you think about balancing sort of you know, keeping that asset-light model, a lot of life licensing, and then using the magazine as kind of more marketing and publicity. This feels a little more going further there. So I guess kinda how are you just what's the rationale behind some of those additional revenue levers?
Ben Kohn: Yeah. So we have to go where consumers consume content today. And, you know, people as much as magazines are beautiful product, and I think the first issue we put out is a good starter issue. I think there's a lot lot of areas to continue to improve on that, but this can take us a little while to get back up to full speed on that. And we're doing that in an outsourced model as well. But we don't we're not we're one of the largest brands in the world. And we don't spend any money as a company on marketing ourselves. Right? And so our content becomes our marketing vehicle and our brand voice. And, you know, we're very focused on sort of returning Playboy to what it's what its roots was. It's a men's brand at the end of day, first and foremost. It doesn't mean that we don't have a big woman audience for the company that buys our products. But our core audience are men. And when you think about the keywords when I think about Playboy, I think about fun. I think about sexy. I think about provocative. I think about aspirational. And the magazine allows us to work with talent through an editorial lens in a way that allows us to punch way above our weight. So we're not paying people to work with us in the magazine. We're using the editorial lens of the magazine to to really magnify and amplify that editorial voice and the positioning and branding of the company. The podcast and other things, you know, simplest way to think about it is taking franchises like The Playmate. Which are, you know, one of the best in brand brand ambassadors out there, or the Playboy Advisor, which is a column that's been in the magazine that gave, you know, sex and relationship advice. How could you take those to distribute distribution mediums today where consumers are consuming content? So it's great to have the Playboy advisor in the magazine. But that's really the byproduct of being able to interact with your audiences on a daily and weekly basis. The way to do that is through you know, podcasts, through video series, through social media where we are staying relevant in our consumers' lives on a daily basis. You know, the magazine will come out once a quarter. It's a beautiful glossy. It's something that you can leave on your coffee table, and the price point will reflect that. But it's the byproduct of of content that we can partner with other people. And and leverage those channels to build an audience much larger without spending the money by working with the right influencers and celebrities today that already have those audiences that are communicating, but taking these franchises and existed at Playboy for the last seventy plus years and bringing into the right distribution vehicles for the way consumers consume content today. You know, Playmates is another great example of that. You know, it allows us to work we're gonna have twelve a year. Is what we're gonna ramp up to play plus a playmate of the year. Plus we'll have a a whole host of them runner ups. But, you know, one of the things we've been looking at, and we actually did this a couple years ago, with Playboy lingerie when we ran a search to find the face of Playboy Lingerie. We had tens of thousands of women apply to that. You can do the same thing today, but do it through a combination of panel of of celebrity judges or or editors. You know, coupled with fan voting. Examples of that are The Voice dancing with the stars and other shows that have really leveraged you know, their contestants and audiences of those contestants you know, and there's a lot of money there. And that helps us from a brand perspective the women are going out to the social media channels to get their fans to vote for them. And so that allows the opportunity for sponsorships. It allows the opportunity for live events. And I think there, you know, there's an opportunity to bring back, you know, through partnerships, Playboy Hospital Hospital.
JP Wallum: Got it.
Marc Crossman: That makes that makes sense. Well, appreciate
Operator: the answers, and I'll hop back in the queue. Thank you. Thank you. It does look like there are no further questions at this time. I'd like to pass the call back to Ben for closing remarks.
Ben Kohn: I appreciate everyone joining our Q4 and annual call and look forward to talking to everyone on our next earnings call. So thank you for joining.
Operator: Thank you. This does conclude today's teleconference. We thank you for your participation. May disconnect your lines at this time.